Operator: Thank you for standing by, and welcome to the Fourth Quarter and Full Year 2013 Financial Results Conference Call. [Operator Instructions] I must advise you that the conference is being recorded today, Thursday, the 20th of February, 2014. And I would now like to hand the conference over to your speaker today, Gregory Abovsky. Please go ahead.
G. Gregory Abovsky: Hello, everyone, and welcome to Yandex's Fourth Quarter and Full Year 2013 Earnings Call. We distributed our earnings release earlier today. You can find a copy of the press release on the company's Investor Relations website, as well as on Newswire services. Today, we have on the call our CEO, Arkady Volozh; and our CFO, Alexander Shulgin. Our call will be recorded. The recording will be available on Yandex's IR website in a few hours. We have put together a few supplementary slides, which are currently available on our IR website. And now, I'll quickly take you through the Safe Harbor statement. Various remarks that we make during the call about our future expectations, plans and prospects constitute forward-looking statements. Our actual results may differ materially from those indicated or suggested by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our annual report on Form 20-F dated March 11, 2013, which is on file with the SEC and is available online. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Although we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. During this call, we'll be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with U.S. GAAP. Reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today. And now I'll turn the call over to Arkady, who will give you an update of our Q4 and full year operational activities.
Arkady Volozh: Thank you, Greg. And thank you, all for joining us today for our Q4 earnings conference call. The company delivered yet another year of strong financial and operational results. I'm delighted with everything we achieved this year, so let me quickly walk you through the most important developments. One, we grew our search share overall as well as on mobile platforms, such as Android and iOS. Two, we implemented several algorithmic changes to our paid search that allowed us to considerably increase relevance, and as a result, TCR (sic) [CTR] of our ads. Three, we began the revamping of the Yandex market into a marketplace in order to benefit from the growth of the e-commerce in Russia. Four, we announced the acquisition of KinoPoisk, movie search which will enrich our search results with new independent vertical and over time will help us penetrate the Russian viewer advertising market. And five, we also grew our share on the Russian text-based advertising market. And now, Yandex.Direct covers approximately 70% of all search pages in Russia. This became possible with the partnership with Mail.ru to power paid search on their properties. Now let's dive into details. As usual, let me begin by mentioning our search share. According to LiveInternet, our overall share of searches in Russia across all platforms grew 140 basis points from 60.5% at the end of 2012 to 61.9% at the end of 2013. The main drivers for this were growing shares on all desktop platforms, and what's even more important, on mobile. We have also increased our market share in the regions, not only in the larger cities. Outside of Russia, we also increased our share in Ukraine and Belarus. In Belarus, we're estimating that we have overtaken Google as the leading search engine there, this is very important. In Ukraine, we estimate that our market share there is greater than 30% now. Furthermore, our share of queries from mobile in the overall volume of search queries has been growing. In Q4 2013, mobile was 16% of search queries and brought us approximately 12% of Yandex's direct revenues compared with 15% in traffic and 11% in revenues in Q3. I'm still proud that in 2013, we were able to grow our share both in on iOS and on Android. Our search share on Android grew from around 42% in December 2012 to at least 52% in December 2013. Our search share on iOS grew from approximately 30%, 35% in December 2012 to approximately 43% in December 2013, and it continues to grow. Today, it is about 45%. These share gains were driven by a combination of efforts, among which are the quality of search technology, first of all, improved distribution efforts, partnerships with OEMs and retailers, and a strategic agreement with Apple, of course. Our own mobile product, such as the mobile Yandex browser that were released in the second half of 2013, also added to the gains of our search share. Overall, our Yandex.Browser has been performing very well, and it is one of the just few browsers that gained share in Russia. In December 2013, Yandex.Browser represented about 10% of all search queries in Russia based on LiveInternet. We continue adding new features to our browser product aimed at improving the user search experience. Talking about text-based advertising. In July of 2013, we rolled out new formulas which further improved click prediction across our paid search product. With better targeting and improved click prediction, we substantially improved CTRs and grew the number of paid clicks on our search pages. As a result, we improved our ROIs for our advertisers. Among other successful initiatives was a new layout of ads on our search engine results page. 2013 was a remarkable year for Yandex's advertising network as well. We launched a popular new ad format, contextual ads with images, which have now been rolled out across the Yandex advertising network. We also considerably increased our ad network coverage through our partnership with Mail.ru. Starting with July 1, 2013, we began to power paid search on Mail.ru properties. We believe that we are now starting to enjoy real synergies from this partnership, as our advertising clients are beginning to increase their budgets allocations to Yandex. As a result of all the above initiatives, as well as of the growing popularity of online advertising overall, we served 460,000 clients on an annual basis. In Q4 alone, we grew the number of clients by 30% year-over-year and reached 270,000 advertisers. Now let's turn to Yandex.Market. In late 2013, we started the transformation of Yandex.Market by introducing cost direction model and added a unified shopping basket to the service. Later this year, we plan a number of other important additions like multi-ship integration, check-out, client guarantee service, recommendation system and so on. And yet another topic that excites us a lot is video advertising. Early in October, we announced the acquisition of KinoPoisk, the largest and most comprehensive Russian language website dedicated to movies, TV shows and celebrities. With the addition of KinoPoisk, Yandex will be able to provide more comprehensive replies to users' queries looking for entertainment, and we are also looking at penetrating video online advertising market in the future. We're just currently in a very nascent stage in Russia. Among other initiatives of 2013, I want to quickly touch upon a few more things. We continue to improve Yandex.Maps. We now provide global maps offering, with a combination of our own maps for Russia, Ukraine, Belarus and Kazakhstan, as well as global maps from our partners. And in Turkey, our navigation application has been recognized as the app -- Mobile App of the Year by [indiscernible], which we are very proud of. On the back of our strength in maps, we launched our very successful Taxi application, a new motivation [ph] model for Yandex. Yandex.Taxi has been extremely successful in Moscow, where we've become the dominant player and we are continuing to expand the service. Overall, we are very optimistic about the future, and our outlook for this year proves that. We are currently expecting our revenues to grow 25% to 30% in 2014 on a like-for-like basis. And with this, let me pass the mic to Alex Shulgin, our CFO. Sasha?
Alexander Shulgin: Thank you, Arkady, and thank you, all, for joining us today. In the fourth quarter of 2013, Yandex consolidated revenues increased 37% year-on-year to RUB 12.1 billion. Excluding the impact of Yandex.Money from Q4 2012, our total revenues grew 40%. Text-based advertising accounted for 90% of total revenues in Q4 and demonstrated the healthy growth of 42% year-on-year. Yandex's own websites contributed 66% of total revenues and grew 30% year-on-year, driven by the strength of our core search advertising business. Our advertising network grew 94% and almost doubled year-on-year. This growth was mainly driven by the partnership we entered on July 1, 2013, to power paid search results on Mail.ru properties. This partnership increased contribution of ad network revenues to the total revenues from 17% in Q4 2012 to 23% in Q4 2013. Display advertising accounted for 10% of our revenue in Q4 and grew 20% year-over-year. Other revenues almost tripled, but still comprised less than 1% of total revenues. Growth was primarily driven by revenues received from Yandex.Taxi. Traffic acquisition cost related to the partner advertising network grew 118%, faster than our network revenues overall as we added Mail.ru. Partner TAC, as percent of partner revenue, was 71%. It grew approximately 120 basis points compared to Q3 2013 due to healthy growth of paid search that will power on Mail.ru. Distribution TAC grew 65%, also faster than our revenues from owned and operated websites. The increase in distribution TAC as percent of O&O revenue was about 220 basis points year-on-year and 140 basis points sequentially. The growth of distribution TAC in Q4 is explained by the increased activity of all the existing distribution partners, as well as by addition of the new partners. However, our intention for the current year is to keep percentage of distribution TAC approximately on the level of 2013. Total TAC increased 100% year-on-year. Text-based revenue was driven by the growth in paid clicks, which increased a 52% year-over-year and 22% sequentially. Importantly, as in the previous quarter, considerable growth was demonstrated both on owned, operated and on the ad network. Growth in the number of paid clicks on our own websites was driven by higher ad coverage, CTR improvements and changes in ads layout implemented earlier this year. Growth in the number of paid clicks on the network front was in large part driven by Mail.ru. Cost per click decreased 7% year-on-year. Now, turning to our cost structure, our total operating cost and expenses, excluding traffic position cost and depreciation and amortization expense, grew 27% in Q4. Excluding stock-based compensation expense and contingent compensation expense connected with acquisition of SPB Software in December 2011, our costs grew 31%. To remind you, in Q4 2012, we recorded a one-off amount of RUB 173 million related to contingent consideration compared to only RUB 14 million in this past quarter. In Q4 2013, the contingent compensation expense related to the acquisition of SPB Software was fully paid out. Personnel costs remained our largest cost item. In Q4, we added 493 employees, of which 375 go in product development. Our personnel cost increased 26% year-over-year in Q4 and was 16% of total revenues. On an annual basis, our personnel cost grew 29% and was 19% of revenue. Excluding Yandex.Money, our personnel cost grew 53% year-over-year in Q4 and 33% year-over-year on an annual basis. Talent is the main asset of the company and we will continue investing on people, with the intention to keep personnel cost within 20% of total revenues. Our depreciation and amortization expense for the quarter increased 15%. Adjusted EBITDA grew 21% year-on-year, and our adjusted EBITDA margin was 43%. The decline in margin on a year-over-year basis was the result of increased TAC, both on the partner ad network due to the inclusion of Mail.ru, and on the distribution front. Our adjusted x-TAC EBITDA margin was 55.6% in Q4 2013. On a full year basis, our adjusted EBITDA grew 32% and adjusted EBITDA margin was 44%. The decrease of 170 basis points on an annual basis was mainly due to our Mail.ru deal. On an x-TAC basis, our adjusted EBITDA margin was 55%, in line with prior year. This quarter, the impact from foreign exchange effect was RUB 99 million gain related to dollar-denominated assets and liabilities on our balance sheet, as ruble weakened from 32.3 as of September 30, 2013, to 32.7 on December 31, 2013. And our effective income tax rate was 24.5% in Q4 on U.S. GAAP basis. The rate was significantly higher than in previous quarters due to onetime effect of certain reserves we have provided for in this past quarter. Adjusting for these reserves and allowances, our effective tax rate is 21.6%. This compares with an effective tax rate of 21.1% in Q3 2013, adjusted for a nontaxable gain on the sale of our 75% interest in Yandex.Money. Adjusted net income grew 19%, and adjusted net income margin was 29.1%. Our Q4 CapEx was RUB 1.7 billion or 14% of Q4 revenue. On a full year basis, our CapEx represents 12.5% of revenue. We estimate that our full year 2014 CapEx will be between 14% and 16% of total revenue. In connection with ruble depreciation, early in 2014, we give this guidance assuming that ruble exchange rate does not fluctuate materially from the current level, as majority of our capital expenditures are dollar or euro-denominated. Turning to the balance sheet, we ended the quarter was USD 1.5 billion in cash and equivalents. In December 2013, we made an offering of 1.125% convertible senior notes due 2018. The notes will be convertible into cash Class A shares of Yandex or a combination of cash and Class A shares at the company selection at an initial conversion price of approximately USD 51.45 per Class A share. Within this offering, we received net proceeds of USD 594 million in 2013 and the additional USD 90 million as proceeds received from the initial purchases of our allotment option exercised in January 2014. In connection with this offering, our Board of Directors authorized an increase in the company's share repurchase program to a total of up to 50 million shares. Inception to date, we repurchased 10 million shares. And now, turning to 2014 guidance. On a like-for-like basis, excluding Yandex.Money revenues from 2013, we expect our revenues to grow from 25% to 30%. Now, I will turn the call over to the operator for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Alex Balakhnin from Goldman Sachs.
Alexander Balakhnin - Goldman Sachs Group Inc., Research Division: Two questions from me, if I may. First is on the well, the certain divergence of the growth between partners revenues and O&O revenues. My question is, why -- if you enjoy such a great paid click growth, your allocation to partners is -- was more superior and why did your partners enjoyed better revenues allocation from your advertising system overall? My second question is, you have quite a big increase of the headcount in the fourth quarter. Was it more like a one-off or you would expect that this path of additional headcount will continue throughout 2014?
Alexander Shulgin: Hello, Alex, this is Alexander Shulgin speaking. So talking about revenue growth, our owned and operated revenue growth was sorted at 30% in Q4 compared to a 33% in Q3. So there was some deceleration of growth, which we attribute to overall macro situation. But the underlying business parameters are strong, number of advertisers grew nicely, with solid increases both in the regions and in Moscow. And paid clicks were also driving growth at 52% growth, both on search -- on owned search and on partner network. There was some deceleration in display, but this product is much more volatile because it's discretionary spend by advertisers to support their events. Search advertising is a much closer to the final [indiscernible] of the consumers, and therefore, it must have channels for the customers as long as consumers continues to spend, and we see the consumer demand were actually still strong. On headcount, so out of 493 people that we added in Q4, 82 is a result of a new approach to reporting headcount that we implemented in Q4, now we include certain part-time employees like quality assessors and content curators in Yandex.Market in our headcount. This is a onetime increase of headcount without any impact on expenses or margins since cost of these people was already included in our personnel cost. So the net like-for-like increase at headcount is 411 people, which is close to our quarterly hiring rate. Most of these people were hired in the core products teams of Yandex like search and advertising technologies. And we also beefed-up some strategically important products like Yandex.Market and media services. Starting in Q1 2014, we decelerate the hiring rate and attempt to keep the ratio of personnel cost to revenue below 20% as we did in previous years. So that's this heightened growth in Q4 was more like a one-off item.
Alexander Balakhnin - Goldman Sachs Group Inc., Research Division: But may I ask, 2 follow-ups, one for the first question, and one on the second question. For the first question, I mean, to -- like if you compare quarter-on-quarter basis, you clearly see that sequential increase on the O&O was lower than on the network, which is, to some extent, counterintuitive unless you deliberately decided to allocate more revenues to your partner network? Is this what happened? And on the headcount expense to revenues, I mean your revenue line was inflated artificially by the Mail contracts, shouldn't it be a lower -- like a lower ratio of headcount expense to the top line going forward given the change of your revenue mix? Or how do you think about it?
Alexander Shulgin: Sure. So on the first question, the main growth driver now, partner network is Mail.ru deal. Since we go through the -- over the period of last year when there was no Mail.ru deal. If we exclude Mail.ru deal, then the growth rate between O&O revenue and partner network revenue is much closer. On headcount, you're absolutely right since we added Mail.ru, it's -- comparing to previous years, you could say it inflates our revenue growth numbers. And you're right, going forward in the next year, on a like-for-like basis, our personnel cost to revenue must be somewhat lower. However, as I said, we plan to add additional resources to a couple of projects, which we think are strategically important for Yandex like Yandex.Market and media services. And this, we invest in building our -- extending our, we say, product franchise to e-commerce and media, which Yandex historically was like strong at with Yandex.Market electronics, we want to expand our footprint on other types of products and the media services, that's completely new niche for us, which we think is strategically important and also could bring a substantial revenue going forward beyond 2014.
Operator: Our next question comes of the line of Edward Hill-Wood from Morgan Stanley.
Edward Hill-Wood - Morgan Stanley, Research Division: I have 2 questions, please. Firstly, just on your guidance range, 25% to 30%. Could you maybe give us an update of the phasing -- the expected phasing of that? I mean, clearly, Mail is going to -- the Mail revenues give you a biased towards the first half, but excluding that, would you expect the year to start faster and then sort of decelerate through the year or you're expecting a sort of broadly even quarters and just really going to trying to get a sense of where we are in terms of current trading, particularly in Q1? And the second question just relates to again, you do mention then that the revenue gap between the O&O and the partner website was much closer, with excluding Mail, of course. Could you maybe give us an update on what the core O&O business or in terms of paid click growth in Q4 relative to Q3, was it faster, was is slower? And within the quarter, was there any notable change and swings in the CPC growth rate that it sort of decelerated at the start of the quarter and then sort of improved at the end? I'm just trying to get a sense of sort of the underlying run rates going to beginning of this year?
Alexander Shulgin: Ed, this is Alexander speaking again. So talking -- your logic about our quarterly revenue split is that absolutely correct. In Q1 and Q2 we'll be -- the comps will be easier for us. And starting in Q3, we'll be comparing our growth to the periods when Mail.ru deal was already in effect. So we expect higher growth in the first half of the year and tougher comparables in the second half of the year. Having said that, our current trading is strong and we're happy with the results that we see currently in our business. Now talking about the underlying drivers of our O&O growth, as we've disclosed in our press release, our paid clicks growth for the business overall is 52%. And I could say that our search business, O&O, paid click growth is 49%. So this tells you that paid clicks growth between partner network and search is very, very close. CPC was down 7%, which is absolutely logical. Because we provide substantially higher amount of paid clicks to our advertisers. And we're happy about the decrease of our CPC because it makes us more competitive compared to all other advertising channels, our direct competitors and also other media channels. And CPC decline was close both on search and partner network together.
Edward Hill-Wood - Morgan Stanley, Research Division: Sorry, can I just follow-up on that point. So the growth in paid clicks in the O&O business was 49%, which is -- which seems quite a good number. But it clearly, you've lost a lot of pricing in -- I'm going back to the original, the first question from -- there does appear to be some generous pricing for the partner websites, the question is, do you think going to the back end of next year, and maybe 2015, that you can monetize the volume which you've created through these initiatives this year better to create a run rate, which is maybe more sustainable and above that into 2015, which is more sort of volume -- price-based rather than volume. I'm just trying to understand of this dynamic of the ability to maybe capitalize on some of the volume gains which you've seen in your business this year?
Alexander Shulgin: That's a very good question. I would agree with you. Once we start cycling the Mail.ru deal, there must be a way for us to increase our pricing, when we compare to the previous one, Mail wasn't in effect. So, I think that starting July, and especially Q4 in 2015, assuming our partner revenue mix remain the same, we must see some increase in CPC.
Edward Hill-Wood - Morgan Stanley, Research Division: Okay. That's really -- and just really to be greedy, can I just follow-up on that first questions again on the phasing of revenues. Is it likely that first quarter revenues will be above your guidance range for the full year?
Alexander Shulgin: I'm not sure I can answer that question. What I could say that we're happy about our performance in Q1. Maybe one item to add. Now with Mail.ru deal, Yandex becomes a much bigger player in contextual and overall online advertising market. And we expect that our share in total advertising spend in Russia, having this deal, must increase, which will benefit us, as well as Mail.ru.
Operator: [Operator Instructions] And our next question comes of the line of Lloyd Walmsley from Deutsche Bank.
Lloyd Walmsley - Deutsche Bank AG, Research Division: You mentioned in your prepared remarks on algorithmic improvements in paid search. I was wondering if you can just elaborate a little bit on what those improvements might be specifically. And then, as a follow-up, can you give us an update on some of the things you're working on the back end ad tech platform in terms of server clusterization, dynamic ad creative, kind of what you're focused on? And what the timeframe is on expecting some of those improvements to rollout to your large customers and beyond that?
Arkady Volozh: Yes, thanks for the question, it's Arkady. Talking about algorithmic improvements, of course, most of it was better targeting mechanisms. We improved our targeting through better machines in the algorithms we have developed and through involving more data, most data signals into algorithms. As we pointed out in our review, we also changed a little bit the formats of the ads, both on search and in the network. And we also worked a lot on large customers, who upload bulk amounts of their advertising we improved tools for them and they were able to process much more advertisements with us. Those were the more major improvement there, their actions.
Operator: Our next question comes of the line of Boris Vilidnitsky from Barclays.
Boris Vilidnitsky - Barclays Capital, Research Division: Few questions for me. First on the EBITDA margin, you guys mentioned that TAC should be line, I'm assuming just a clarification, you guys mean in line with the second half, right, not the first half because of the Mail deal?
Alexander Shulgin: I was mentioned full year TAC, so we expect full year distribution TAC as a percentage of all integrated revenues to be in line or very close to -- in 2014, to full year 2013 level.
Boris Vilidnitsky - Barclays Capital, Research Division: Okay. Next, on CapEx you mentioned 14% to 16% of revenue, any thoughts there? Is there -- is that M&A like what are you looking in there, in that category?
Alexander Shulgin: Our CapEx, as usual, that is completely of new data center facilities and servers to provide for those facilities. We're currently in process of building new data centers in Finland. The project is expected to be online in Q3, I would say closer to the end of Q3. So that timing is still in place. But we were able to agree on better payment terms, to extend the payments from Q4 2013 to closer to end of first half of the year 2014. And therefore, CapEx in 2013 was 12.5%, lower than we originally expected because of the payment shift. And guidance for 2014 is between 14% to 16%. So basically, there was some shift in cash outflow from Q4 2013 to Q1 and Q2 2014.
Boris Vilidnitsky - Barclays Capital, Research Division: Got you, got you. Sorry, one more question for me actually. If you can give an update please on Turkey, what are you guys seeing there in terms of spending and searcher?
Arkady Volozh: Well, last year in Turkey, we worked a lot on the product and we have achieved a lot of the product. The main achievements of last year were that our Yandex.Maps and Navigator and Traffic Jams application has become, as I said, the Mobile Application of the Year for Turkey. The Russian application, which was the best application for Turkey. And if you today ask about the Yandex in Istanbul, the answer would be that we are a mapping and traffic jams company, which has good and bad. And the second thing, the good thing is that people know us very well from the product and the bad thing is that more -- maps are not monetizable as well as search. So the second good thing was in search, the key for a search product for us, the whole experiment is in Turkey for us is whether or not the company is able to deliver an international product and new product for a new market. And this year, we have broke out with in search quality. And we have reached our competitors search quality without having access to as wide audience as they have. We have a very low market share, we have the very low market share, as you know, when we started. And even without this big, huge data, which we'd normally use here in our markets, we managed to reach the quality level in our measurement of our competitors. And we are now continue to working and we hope, with several launches we're going to have very soon, we will have a better quality search for this market, actually the best quality search of all available, the same as we have on our existing markets like Russia, Ukraine and Belarus, in our measurement we have better search quality. We hope to get it in Turkey as well. And with that, we hope to start growing much faster than we did. So far, we continue to grow in market share. We just crossed, several weeks ago, according to comScore, we have crossed 4% market share, as you can see, which is, again it's good, but it would be even better if we moved faster. But this is the experiment, and so far we are happy and we'll continue pushing.
Operator: Our your next question comes from the line of Ulyana Lenvalskaya from UBS.
Ulyana Lenvalskaya - UBS Investment Bank, Research Division: My first question would be about Yandex Islands. Could you please give us an update when you plan to launch the platform in Russia, please?
Arkady Volozh: We are -- we're rolling out the platform right now in few experiments. As you know, we launched it in Turkey. And the reason why we launched it in Turkey, first was that we have had nothing to lose there and we can experiment openly without risking to lose any revenues with these big changes in search results page design. In Russia, on existing markets where have real customers and a lot of real users, we need to be much more cautious. So we experiment with design a lot, we are launching it in -- on portions of our audience and we hope to have rolled out later this quarter.
Ulyana Lenvalskaya - UBS Investment Bank, Research Division: And then my second question will be on the convertible bonds. Could you please elaborate on the reasons for the placement? And potentially give us some hints on the potential use of proceeds?
Alexander Shulgin: Ulyana, this is Alexander speaking. So basically, this convertible bond issuance gives us additional opportunities and flexibility. Some potential expansions of our business, that's first. And second, exclusive terms, financing terms were quite attractive. And we decided that's a very good opportunity for us to take this option. I cannot say that we currently have any M&A views in the works. So this cash is for future potential deals, but nothing in the works currently.
Ulyana Lenvalskaya - UBS Investment Bank, Research Division: And dividends, you're also not considering right now.
Alexander Shulgin: Well, I could say that Yandex's Board of Directors committed to returning capital to shareholders. But currently, we view share repurchases as the preferred approach but dividends are not ruled out either.
Operator: Our next question comes from the line of Anna Lepetukhina from Sberbank.
Anna Lepetukhina - Sberbank Investment Research: Can you please provide an update on the development of Yandex.Market, it has been 2.5 months or so, maybe you can disclose how many stores signed in for the new model? And also you've mentioned some additional functionalities that you plan to launch this year, like client guarantee recommendation, can you please elaborate on this and maybe provide some timing when do you expect the full version of Yandex.Market to be operating?
Arkady Volozh: Yandex marketplace is a work in progress and the rollout of the project will be later this year, as we promised. Currently, we have something like 100 shops already participating in the CPA model including the big ones like Holodilnik or 220 Volt or Digital.ru. We have another something like 200 who are essentially testing it, the model. And of course, we don't expect to switch the model before we launch the product itself. We bought MultiShip, as you know. This is to provide the service of tracking -- this is -- serves both for the shops and for the customers. For the shops, it will be one-stop point where they could have their logistics connected. And for the users, it will be in the tracking mechanism where they could track their shipments. We're going to launch recommendation engine, which we're now currently working on. And it will be very sophisticated, we're going to enroll all of our machine learning and technology we have. We're going to be a -- we're going to guarantee our shipments and the quality of service to our users. There will be one checkout basket, checkout point for the users and we're going to introduce it -- we'll just introduce it during the fourth quarter. And what else? So far, again, we're just -- the product is not there, we're just describing the product we are building. We are building it by blocks, the first couple of blocks have been built already, and we have another 4 or 5 coming. And only in, maybe, late in Q2, we're going to seriously be launching the product for the users. And before users are there, it's too early to say what it is there for the shops. We're hopeful they will enjoy it.
Anna Lepetukhina - Sberbank Investment Research: Sorry, and just a follow-up, do I understand correctly then in your guidance, you don't assume any revenues from this new model?
Alexander Shulgin: Anna, this is Alexander. I would say that we assume -- the guidance was given on the current [indiscernible] of the business.
Operator: Our next question comes of the line of David Ferguson from Renaissance Capital.
David Ferguson - Renaissance Capital, Research Division: So I've just 2 questions, please. Firstly, on sort of you talked about video, online video as being an important sort of focus going forward, so maybe go into a bit of color on some of the initiatives that you're working on and what you hope to achieve in that area? So that's the first question. And then secondly, on Mail's call this morning, they talked about decision to issue a listing in Russia. So I wonder if that's something that would make sense for Yandex to do also in the -- in a reasonable time period.
Arkady Volozh: Okay, I'm talking about the video, we consider the next, I think, points, potential point of revenues. Because more and more people are watching video, movies and TV shows online and we need to follow those eyeballs and serve them with advertising. There will be a lot work on the product itself, because a product will be different from -- the user experience should be different from what we are accustomed to have in regular television. So we're working on the product, we're working on the advertising model, on the targeting mechanisms and there will be a lot of work with content providers. The first step was with KinoPoisk. Recently, we integrated our banner -- our apps banner technology into the product. We actually -- in Q4, we actually finished integrated KinoPoisk team into Yandex -- into Yandex's team and procedures. And we're working on the product, which we we're going to launch later in 2014.
G. Gregory Abovsky: And David, this is Greg. On listing on the MICEX question. Look, our board is generally supportive of a MICEX listing. We see kind of 3 main benefits for being listed here locally. One, obviously is we are a Russian company and we, therefore, think that it makes a lot of sense for us to have a secondary dual listing on the Moscow Exchange as well. Furthermore, we believe that it benefits our employees as it allows them to transact our shares on the local market. And then finally, we think that there could be positive benefits from indexation as well as, such as inclusion in various exchange or other indices.
Operator: Our next question comes from Alexander Vengranovich from OTKRITIE Capital.
Alexander Vengranovich - OTKRITIE Securities Ltd., Research Division: My question is actually about your cash on the balance sheet. So first, would have mentioned that the share -- the proportion of the cash which was actually just the cash and cash equivalents versus the share of term deposits has increased dramatically year-over-year. So I'm just wondering whether it was done like specifically so you want to have the cash available for you at any time? Or is just a matter of timing, so probably you're planning to put this cash on the term deposits for the time being just to get some additional yield on that. And or maybe I'm missing something here?
Alexander Shulgin: Alexander, this is Alexander speaking. So you are absolutely correct. We're currently moving from the previous instrument that expired to a new structure of our cash, and we're also in process of changing the currency mix in a gradual change here, which will take several months and quarters to complete. And that's why we temporarily increased number of cash available on the balance sheet.
G. Gregory Abovsky: Just to maybe add to that, this is Greg. I was going to say, in terms of our current currency mix, I think we're about 60% to 2/3 U.S. dollars and about 1/3 rubles. And we're, as Alex said, in the process of increasing our allocation of funds to U.S. dollars, and obviously, the convert allowed us to put more cash on the balance sheet in terms of adding strategic flexibility, not necessarily for anything M&A specific, but generally for rightsizing the capital structure and deploying capital in a more efficient manner.
Alexander Vengranovich - OTKRITIE Securities Ltd., Research Division: Okay, should we expect any changes to the effective interest rates which are getting on that cash you have in hand?
Alexander Shulgin: The effective interest rate will probably be lower than what we have in 2013 because our -- as since our cash structure is now has changed especially after the convert deal in favor of U.S. dollars and interest rates on dollars, of course, lower than on rubles.
Operator: Our next question comes from Mitch Mitchell from BCS.
Mitch Mitchell - BCS Financial Group., Research Division: Just 2 quick questions. The general guidance that you've given for us was for about 100-basis-point margin decline this year, largely on the Mail.ru effect. But your actual results were about twice that, so I'm just wondering can you comment, if there's something that happened in your cost structure that you weren't anticipating that led for that slightly larger margin decline? And the second question is, I just noticed that you made a point of highlighting that you that Yandex had passed Google in search share, I guess, in Belarus, you said. You made a point of highlighting that, so I was just wondering if you can give us a bit more color that?
Alexander Shulgin: This is Alex. I will take your first question. So about -- speaking about next year EBITDA level, we expect our next EBITDA margin to be about 100 basis points lower than 2013 level. There was margin -- and in Q4, our margin decreased compared to last year level was a bit higher than that. But we expect that on a full year scale, 2014 compared to 2013, to get -- will be much lower than that. In Q4 specifically, we have a couple of items which were present on our EBITDA margin was Mail.ru deal. And this item will remain going forward as well. And also the activity of our distribution partners was higher than usual. But as we discussed, we expect that in 2014, full year distribution TAC, especially [indiscernible] will be at the same level as in 2013. And also in Q4, we had incremental personnel resources to well strategically important products like search, like advertising technologies, and Yandex.Market and media services. And the index of this additional personnel will be less visible on a full year scale on 2014.
Arkady Volozh: And, yes, on Belarus, it could be viewed from 2 point of views. First of all, it's a small market on one hand and it's fine to discuss it, it's immaterial. And there's not so many measurement mechanisms available there, so we cannot tell you the exact numbers, but at least today, LiveInternet shows that we have something like 44% and Google has 41% market share. And it was opposite some 6 months ago. So we crossed them according to LiveInternet, whether or not it's correct. So it's not material, but it's -- I think it's very important that it's an independent country and actually our competitors has lost, maybe, the first independent country market in their history. And it just proves that with focusing, with better search quality, with attention to the details, you can get the market. And this is a very important thought for us as a company and this gives us a lot of focus.
Operator: Our next question comes from the line of Sergey Libin from Raiffeisen Bank.
Sergey Libin - Raiffeisen CENTROBANK AG, Research Division: Just two questions as well. First of all, given your performance in Turkey, do you still consider expanding elsewhere? I think you made your global maps products, so shall we expect any new launches abroad?
Arkady Volozh: No, as we said, before we learned how to beat the market, how to win the markets in Turkey, we are not investing in any other markets. Talking about our maps global product, just like global search, you might know that Yandex serves our markets with global search results on a regular search, web search. We did the same with maps, we serve our local audiences in Russia, Ukraine, Belarus, Turkey with global maps. They need to use global maps from time to time. Because majority of users local, but sometimes they need global maps and in these cases we must provide them with global information, that's what did.
Sergey Libin - Raiffeisen CENTROBANK AG, Research Division: And secondly, about your recently launched Yandex kit, how much do you think it will cost to operate it on a year-on-year basis, I mean operating costs?
Alexander Shulgin: It's a continuation of our regular work in this area if you remember several years ago, we bought a steady software, we have a team working on this. So it's not an any additional cost, it just a continuation of the work they were doing. And of course, actually, this launch, which happened just yesterday, I think, it's again it's very important that we're talking here about the existence of alternative Android ecosystems. And if such ecosystems will exist, like they are in China or with other vendors, then we will find our place in this world. And I think they really do exist.
Operator: Our next question comes from the line of Alex Balakhnin from Goldman Sachs.
Alexander Balakhnin - Goldman Sachs Group Inc., Research Division: A quick follow-up to Alexander. My line was bad. Did you mentioned that the TAC as a share of revenue in 2014 will be at the level of 2013? Did I understand you correct there?
Alexander Shulgin: Alex, we'll be speaking about distribution TAC as a percentage of O&O revenue.
Alexander Balakhnin - Goldman Sachs Group Inc., Research Division: Distribution, but not the share -- the revenue share.
Alexander Shulgin: So if you're asking about distribution TAC? What we said is we believe that we're modeling for distribution TAC to be roughly equal year-on-year between 2014 levels and 2013 levels. Obviously, we're stepping up TAC investment in Turkey, which is the thing that's pushing it slightly upward. If you're asking about partner TAC, obviously, it will go up in the first half of the year as we keep absorbing the Mail deal. And as we start to anniversary it should be less of a headwind, in fact it's not a headwind at all and then obviously, our partner TAC overall is in a process that we try to manage on a constant basis in terms of balancing off more expensive and less expensive partners. There's also other initiatives that we have internally such as our own display network which, obviously, comes with its own TAC, but that's more of an accounting issue than a real investment one, right?
Alexander Balakhnin - Goldman Sachs Group Inc., Research Division: Yes, and just a quick one, can you update us, so you tend to give the numbers of share of traffic from mobile and the share of revenues for mobile for the fourth quarter? [indiscernible]
G. Gregory Abovsky: Sure. We say that there was 16% of queries and 12% of revenues. So it's continuing to grow at a pretty much linear fashion. We're adding approximately 1 percentage point more or less per quarter.
Operator: That was our last question. I'd now like to hand back for any closing comments.
G. Gregory Abovsky: I want to just thank everybody for dialing into the call today. And we will be doing our Q1 call later in April. Thank you so much.
Operator: Thank you very much. That does conclude our conference for today. Thank you for participating. You may all disconnect.